Operator: Good day, and welcome to the First Quarter 2015 Hewlett-Packard Earnings Conference Call. My name is Denise, and I'll be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Jim Bergkamp, Vice President of Investor Relations. Please proceed.
Jim Bergkamp: Good afternoon. Welcome to our fiscal 2015 first quarter earnings conference call with Meg Whitman, HP's Chairman, President and Chief Executive Officer; and Cathie Lesjak, HP's Executive Vice President and Chief Executive (sic) [Financial] Officer. Before handing the call over to Meg, let me remind you that this call is being webcast. A replay of the webcast will be made available shortly after the call for approximately 1 year. Some information provided during this call may include forward-looking statements that involve risks, uncertainties and assumptions. If the risks or uncertainties ever materialize or the assumptions prove incorrect, the results of HP may differ materially from those expressed or implied by such forward-looking statements. All statements other than the statements of historical fact are statements that could be deemed forward-looking statements, including, but not limited to, the execution of restructuring plans and any resulting cost savings or revenue or profitability improvements; any projections of revenue, margin, expenses, earnings, earnings per share, HP's effective tax rate, cash flow, share repurchases, currency exchange rates or other financial items; any statements of plans, strategies and objectives of management for future operations, including the separation transaction; and any statements concerning the expected development, performance, market share or competitive performance relating to products or services. A discussion of some of these risks, uncertainties and assumptions is set forth in more detail in HP's SEC reports, including the most recent Form 10-K. HP assumes no obligation and does not intend to update any such forward-looking statements. The financial information discussed in connection with this call, including any tax-related items, reflect estimates based on information available at this time and could differ materially from the amounts ultimately reported in HP's quarterly report on Form 10-Q for fiscal quarter ended January 31, 2015. Revenue, operating profit, operating margin, net earnings, diluted net earnings per share, income tax rate, cash and cash equivalents, operating cash flows, total company debt, capital expenditures and similar items at the company level are sometimes expressed on a non-GAAP basis and have been adjusted to exclude certain items, including, amongst other things, amortization of intangible assets, restructuring charges, separation costs and acquisition-related charges. The comparable GAAP financial information and a reconciliation of non-GAAP amounts to GAAP are included in the tables and slide presentation accompanying today's earnings release, both of which are available on HP Investor Relations webpage at www.hp.com. I'll now turn the call over to Meg.
Margaret Whitman: Thank you, Jim, and thanks to all of you for joining us today. With the first quarter of fiscal 2015 now behind us, I would say that, overall, we're on track with our turnaround and executing well on our separation. In Q1, we delivered solid performance in our business operations. We achieved non-GAAP diluted net earnings per share of $0.92, which was at the high end of our outlook range. We continue to improve profitability, growing operating profit margins across all our major business segments. We increased investment in innovation to drive the future of both Hewlett-Packard Enterprise and HP Inc., and we executed well across key areas of our portfolio, including Industry Standard Servers, Converged Storage, private and managed Cloud, Personal Systems and Graphics. While we have more work to do to improve performance in other parts of the business, we're about where we expected to be at this point in our turnaround journey. Now there a couple of factors that had an impact on our first quarter financial results and how we think about the rest of the year, and I want to address these. Let me talk for a moment about the global environment with a particular focus on unfavorable currency movements, and I also want to address cash flow. We're all aware that the global environment and currency movements have been a challenge for U.S.-based companies. For HP, the challenge is particularly acute, with 65% of our revenue coming from outside the United States and over half of that from EMEA. This all impacts HP in multiple ways. The strength of the U.S. dollar negatively impacted our reported revenue. Our revenue declined approximately 5% year-over-year as reported but only 2% in constant currency. In addition, the recent currency movements have disrupted the competitive pricing landscape and impacted customer demand. Aggressive pricing from our Japanese competitors in the Printing business, given the weakness of the yen, was a continued challenge. We were able to manage these impacts in the quarter and deliver earnings as expected, but given the specific hedges we had in place and the significant currency movement that took place in January, we anticipate the impact on the remainder of FY '15 will be greater than what we saw in Q1. We're working hard to offset these impacts through repricing and productivity, but let me be very clear. Fully mitigating currency movements of this size would require reducing investments in areas like innovation, key systems and tools and placement of printer units. That simply would not be the right thing to do. When we discussed the impact of currency on revenue in November, we estimated our headwind for fiscal 2015 to be approximately 2 points year-over-year. We now expect that headwind to be approximately 6 points assuming today's rates. That difference equates to approximately $3.3 billion in revenue, $1.5 billion in operating profit or $0.60 in earnings per share. We believe will be able to manage half of that through repricing and cost actions, but estimate a negative earnings impact of approximately $0.30 per share entirely due to currency. While we have taken down our full year earnings outlook, we remain on track to deliver flat revenue year-over-year in constant currency. Cathie will share more details on how we manage currency movements across the portfolio. Now turning to cash flow. Q1 results were below our expectations, impacted primarily by an increase in our cash conversion cycle and by timing issues. The cash conversion cycle was higher than expected as a result of higher days sales outstanding. Also, we made restructuring payments earlier in the year than we expected and outperformed on HP Financial Services volume, which negatively impact cash year-on-year. However, except for the currency impact and separation payments, we would have expected cash flow for the full year to be in line with our original outlook of $6.5 billion to $7 billion. Cathie will have more to say about this in a moment. Now let's talk about business performance and innovation. And as I said at the beginning of the call, we continue to make progress in our operating performance. In Personal Systems, the team is executing well. We outgrew the market and gained share across all regions. We saw particular strength in notebooks, where we regained our #1 share position worldwide. Commercial remains a key focus for us. And at Discover in December, we announced the industry's thinnest and lightest business-class notebook, enabling our customers to be more productive in more places. In Printing, profitability remained strong, but we continue to face top line challenges. Hardware and supplies revenue declined. And going forward, we are going to be more aggressive in placing units to support long-term supplies growth. I'm looking forward to some of the exciting new products Dion and his team are planning to launch in the coming months. The Enterprise Group performed well with 9% growth in constant currency in Industry Standard Servers, led by strong Gen9 adoption and improved sales execution. HP's end-to-end compute strategy led by the Gen9 portfolio has redefined the broader server industry, and improvements in sales execution are paying off. We also saw improved performance in Business Critical Systems, and our new products are gaining traction with customers. During the quarter, we expanded our server portfolio with HP Integrity Superdome X and HP Integrity NonStop X. These platforms run our customers' most demanding, mission-critical workloads on x86 architectures with higher levels of performance, scalability, availability and efficiency. In Storage, we returned to growth in constant currency, and we anticipate a fourth quarter of external disk market share expansion based on calendar Q4 results. We continue to see an industry shift to the midrange, which is our sweet spot. And at Discover, we announced a refreshed portfolio of midrange and flash-optimized HP 3PAR StoreServ systems. And it's becoming clear around the industry that our HP Converged Storage portfolio is the best in the market. Just this month, HP 3PAR won the 2014 Search Storage Product of the Year gold award. However, in Networking, results were disappointing after many quarters of growth. We had execution issues in the U.S. and in China, which we are working to address. We made leadership changes in China in the quarter, which we believe will strengthen our ability to compete effectively in what remains a tough market. And in the U.S., we are realigning sales incentives to increase focus. We continue to bring new Networking solutions to market. Just last week, we announced a new line of open network switches, providing web-scale customers choice, agility and scalability in their data center networks. We are focused on winning in this business, and you will continue to see us make aggressive moves over the coming quarters. Technology Services was consistent with recent quarters with strong and predictable profitability. The team continued to execute well, improving efficiency across the organization while driving order growth in constant currency. We were pleased with the continued momentum in newer portfolio offerings like Proactive Care and Datacenter Care. In Cloud, our HP Helion portfolio continues to gain traction worldwide, capturing market share in open hybrid cloud. During the quarter, we announced HP Helion wins with Alcatel-Lucent, Halfords, Telecom Italia and Symantec, and we've seen strong pull-through of HP products and services by new customers of HP Helion. Last month, HP Helion was recognized as a leader by Forrester Research in their inaugural Forrester Wave for private cloud in China, earning the highest ranking for strategy. And early in the quarter, IDC recognized HP as a leader in U.S. government private cloud. In Enterprise Services, revenue continued to be impacted by key account runoff, softness in EMEA and currency headwinds. However, profitability improved year-over-year, in line with our expectations. And sales metrics are reflecting the go-to-market transformation underway in this business. Among recent new logo wins, HP Enterprise Services was selected by TNT, one of the world's largest express delivery companies, to help future-proof the business by consolidating and virtualizing its IT infrastructure and moving some functions to an HP Helion-managed virtual private cloud environment. And just today, we announced a major multibillion-dollar customer win with Deutsche Bank. With this partnership, HP will help Deutsche Bank meet its long-term business objectives through a transformation of its IT infrastructure, including a customized HP Helion solution that will enable them to focus on creating and delivering new services for their clients. This was a hard-fought win for HP, and I'm very pleased with the outcome. In Software, we continue to shift our portfolio and operating model to SaaS and subscription-based offerings. Customer consumption behavior and the need to adjust sales motions accordingly created a near-term revenue headwind. Total revenue was down. However, we saw growth in security, and our recent acquisition of Voltage Security strengthens our portfolio in data encryption. During the quarter, we also unveiled HP HAVEn OnDemand, an important milestone in our Big Data strategy that gives organizations cloud-based access to key components of our HAVEn analytics platform. Overall, we continue to see strength across many of our businesses while other areas still need more work. Operationally, we get stronger with each passing month. And just as important, our innovation engine continues to hum, and I expect that the pace of innovation will accelerate through the rest of the year. With that, let me turn it over to Cathie to provide a deeper look at the financial performance and our outlook.
Catherine Lesjak: Thanks, Meg. Overall, we delivered revenue of $26.8 billion, down 5% year-over-year or down 2% in constant currency. Despite currency headwinds and even as we continued to increase our R&D investments, we improved profitability year-over-year. Gross margin was 23.4%, up 0.6 points year-over-year. And quarter-over-quarter gross margin was down 1.2 points, in line with normal seasonality. Non-GAAP operating profit was 8.8%, up 0.3 points year-over-year. We are nearing the completion of our 2012 restructuring plan. In Q1, about 2,800 people exited the company, making the total reduction to date approximately 44,000. We are on track to complete this existing program with a total of 55,000 people expected to exit by the end of fiscal '15. However, we do anticipate incremental opportunities for operational improvements identified through the separation process. Our non-GAAP diluted net earnings per share of $0.92 primarily excludes pretax charges of $222 million for amortization of intangible assets, $146 million for restructuring and $80 million associated with the separation. Including these charges, GAAP diluted net earnings per share for Q1 was $0.73, in line with our previously provided outlook of $0.72 to $0.76 per share. Turning to the business performance. In Personal Systems, revenue grew 3% in constant currency or flat as reported. We outgrew the market and gained share across all regions while increasing profitability year-over-year to 3.7%. We saw particular strength in notebooks and continued to rollout exciting products. While commercial revenue was up only 1% in constant currency following the XP migration, we saw an increase in consumer momentum with 4% revenue growth in constant currency. In Printing, revenue declined 4% year-over-year in constant currency or 5% as reported, with some challenges in both hardware and supplies and particular weakness in Russia. Profitability remains strong at 19.2%. Declines in low-end home and single-function mono laser hardware units drove overall units down 4% year-over-year. While it will take some time to turn the corner, we continue to make progress in our strategy of improving the quality of our installed base. Our unit mix improved with solid growth in key high-usage products like Officejet Pro X and value multifunction printers. Graphics performance remains strong with our sixth consecutive quarter of year-over-year growth. The increase in scale has contributed to a year-over-year increase in operating profit. Also, in Managed Print Services, we saw double-digit total contract value growth year-over-year. Although we still saw declines in overall supplies revenue, we continue to improve the revenue trajectory in ink while managing ink and toner channel inventory within desired ranges. Overall, supplies revenue mix was 65% of total print revenue. The Enterprise Group performed well with revenue up 3% in constant currency or flat as reported, with strong profitability of 15.6%. ISS revenue grew 9% in constant currency or 7% as reported, with growth across all regions and strength in core rack and blades categories. We also saw some recovery in Business Critical Systems with revenue down only 7% in constant currency or 9% as reported. In Storage, performance improved in Q1, with revenue up 3% year-over-year in constant currency or flat as reported. Converged Storage was up 21%, now making up 50% of total Storage revenue. 3PAR plus XP plus EVA was up 12% year-over-year. All-flash 3PAR revenue accelerated, now making up 20% of total 3PAR midrange portfolio. Also, we expect to be the only scaled vendor to gain external disk share year-over-year for the last 4 quarters. In Networking, revenue was down 9% year-over-year in constant currency or down 11% as reported. However, we continue to see positive momentum in our data center switching business, which grew for the fifth consecutive quarter. And while we had execution issues in the U.S. and China, we delivered solid revenue growth in the rest of the world. Technology Services revenue was down 2% year-over-year in constant currency or down 5% as reported. Orders grew in constant currency, driven by support in EMEA and strong renewals. Enterprise Services revenue was down 8% year-over-year in constant currency or down 11% as reported. Application and business services and IT outsourcing were each down 11%, as key account runoff and weaknesses in EMEA offset the momentum we're seeing in strategic Enterprise Services or services for the New Style of IT. Profitability improved year-over-year to 3%, up 1.9 points, driven primarily by productivity actions and improved margins in underperforming accounts. Also, the sales team increased efficiency with improved win rates and reduced field selling costs. Total contract value was up with double-digit growth in renewals, in new logos and in SCS signings, with particular strength in key areas including Cloud and Big Data. Software revenue was down 3% year-over-year in constant currency or down 5% as reported as we faced execution challenges and headwinds from our shift to SaaS. Profitability was 18%, up 2.2 points year-over-year, as we effectively managed costs while increasing R&D investment in strategic areas such as Big Data and security. Finally, in HP Financial Services, revenue declined 4% year-over-year in constant currency or down 8% as reported due to an early contract termination in the prior year period, making for a tough compare for revenue and operating profit. However, we experienced double-digit new volume growth and record-high attach rate to HP's products and services. ROE was just over 17%, and HP Financial Services continues to be a key differentiator for HP. Before we get to the outlook, I want to spend a bit more time helping you understand how currency impacts our business. With 2/3 of our revenue coming from outside of the U.S., the impact from currency movements is significant. As Meg said, we have taken down our full year non-GAAP earnings outlook and this is entirely due to the currency challenges she described. We continue to offset currency movements as much as possible through hedging strategies. We have rolling hedging programs, which is designed to minimize the volatility of results by dampening large fluctuations. However, significant and sustained currency moves cannot be managed by hedges alone. We also use repricing as a lever when possible, considering competitive market dynamics. The hedging programs vary by business depending upon these factors. As an example, Personal Systems and our EG hardware businesses have very little in natural hedges as our component contracts are typically in U.S. dollars. As a result, these businesses are disproportionately impacted by currency movements. However, we do have some ability to increase pricing in response to currency movements while being mindful of competition and potential negative impacts to customer demand. In Printing, we have a lot of moving parts, with currency impacting our business both directly and indirectly. Like the other segments, the Printing business is negatively impacted by the strength of the dollar on the top and bottom line. The weaker yen helps the cost side of our business, but it also allows our Japanese competitors to price much more aggressively. In addition, Printing, specifically the laser business, is overweight in Russia, which adds yet another dimension to currency impact. Services have more natural hedges since revenue and expenses are more closely matched in the same currency, but due to the nature of the contracts, repricing in response to currency movements is less of a lever. Across all of our businesses, we will continue to manage the currency challenge while also making the right trade-offs to support our strategy for long-term success. We discussed the currency impacts to the P&L, but now let me talk about the balance sheet. As we discussed last quarter, we hedge our balance sheet based on anticipated net monetary assets and liabilities. Any hedge gains or losses are reported within the other assets and liabilities section and not the specific cash flow line item. Across the specific line items in Q1, we saw the largest impact from currency on working capital and financing receivables. The change to our cash conversion cycle would suggest a working capital headwind year-over-year of approximately $750 million. But the actual headwind is approximately $1.1 billion when including the hedge gain that is reported in other assets and liabilities. Similarly, the cash headwind from reported financing receivables appears in the statement of cash flows to be approximately $100 million but is actually closer to $250 million when including this adjustment. The offset means that the headwind of approximately $1.3 billion in other assets and liabilities is actually a lower headwind of about $800 million. Making this distinction is important so we can focus on the true drivers of cash flow. Next, I want to discuss cash flow and capital allocation. In Q1, cash flow from operations was $744 million and free cash flow was negative $73 million. We had several factors impacting our operating and free cash flow in Q1. Remember, Q1 is typically the lowest cash flow quarter for HP, and we did expect this to be true again in fiscal '15. Having said that, the cash flow results were down year-over-year and somewhat below our expectations, and I want to take a minute to explain. First, we had a working capital impact. The cash conversion cycle increased sequentially in Q1 '15 but declined sequentially in Q1 '14, which created a headwind of about $1.1 billion net of hedging. While we anticipated a lot of this, days sales outstanding was higher than expected, largely due to nonrecurring operational issues in the quarter, intra-month linearity in January and other smaller factors. Some of these smaller factors may continue and are captured in our outlook. We still expect the cash conversion cycle to be 10 to 12 days by year-end as we continue to make the right trade-offs between the use of cash and P&L optimization. As an example, we may decide to ship finished goods by boat versus by plane, which increases inventory but reduces cost of sales. Similarly, taking advantage of early pay discounts from suppliers reduces cost but decreases accounts payable. We do a full cost-benefit analysis to make sure these decisions drive economic value. Next, we had a tough compare. Q1 '14 included proceeds from a large real estate sale, which drove an increase in net CapEx year-over-year in Q1 '15. Finally, there were several other unfavorable movements in Q1 '15. We had double-digit capital lease volume growth, which obviously is great for our business, but this was a greater use of cash of this year than last. We also ended the quarter with higher receivables from vendor rebates and contract manufacturers as well as lower litigation reserves. And we made restructuring payments earlier in the year than expected. I want to reemphasize that while Q1 cash flow was down year-over-year, we remain confident in our ability to generate cash as we've demonstrated over many quarters. We are providing an updated outlook today to our free cash flow, but the reduction from our $6.5 billion to $7 billion outlook last quarter is only due to currency and separation impacts we've announced today. Turning to capital allocation. In Q1, we repurchased 41.1 million shares and paid $304 million in dividends for a total capital return to shareholders of $1.9 billion. This makes up for the $750 million shortfall from our fiscal 2014 commitment to return at least 50% of free cash flow to shareholders. Turning to the separation. As we discussed on the last earnings call, we will incur incremental separation costs and foreign tax expenses in both fiscal 2015 and 2016 associated with separating into 2 companies. The scale of this separation is unprecedented in its size and complexity. Over the past few months, we defined and quantified the expected charges related to the separation. These charges include finance, IT, consulting and legal fees, real estate and other items that are incremental and onetime in nature and not reflective of our operational performance. In addition, we've estimated our incremental foreign tax expenses related to the separation of foreign legal entities. The charges and taxes associated with this separation are excluded from our non-GAAP earnings. The Q1 GAAP charge associated with the separation was $80 million, and we expect the Q2 GAAP charge to be approximately $250 million. Full year fiscal '15 charges are expected to be $1.3 billion and the FY '16 estimate is $500 million. While these are large numbers, they represent less than 2% of our annual operating costs and are necessary to realize the potential of the separation into 2 world-class companies. Separation-related capital spend this year is expected to be approximately $300 million. The incremental gross foreign tax expenses are estimated to be about $950 million in fiscal 2015. We do expect more than half of the tax expenses to be offset by foreign tax credits. In fiscal '15, we anticipate a credit of about $200 million and the rest over the next few years. We will continue to provide updates on our separation on our quarterly calls. Turning to the outlook for Q2 and the remainder of fiscal 2015. From a macro perspective, we've already talked about the impact associated with currency shifts. Additionally, we see continued challenges across certain geographies, including China, where we anticipate increasing competitiveness from local vendors; and Russia, where political and economic concerns are ongoing. These challenges are being offset to some degree by strengthening of the U.S. economy. By business. In Personal Systems, while the PC market is expected to continue to contract, we plan to leverage our brand, channel, scale and strong product lineup to continue to gain share profitably. We will take advantage of the momentum in consumer and continue our strategic focus on commercial, including commercial mobility. In Printing, we're planning to be more aggressive in placing hardware units with continued focus on high-value units. We will manage supplies channel inventory closely while driving further stability in supplies revenue in fiscal '15. In Enterprise Group, we expect server momentum to continue with the Gen9 lineup and server refresh cycle. We expect Storage, particularly 3PAR, to outperform key competitors, especially in the midrange. In Networking, we expect continued challenges in the near term but are making adjustments to improve execution. In Enterprise Services, we expect continued improvement in profitability, making progress towards our long-term goal of 7% to 9% operating profit, and remain confident in our full year operating margin outlook of 4% to 6%. Given the current revenue trajectory and the expectation that currency will continue to be a headwind, we are providing a new Enterprise Services full year revenue outlook. Because of the currency volatility, going forward, we will provide this on a constant currency basis. We now expect full year revenue to decline 4% to 6%. We expect year-over-year revenue performance improvement in the second half of fiscal '15. In Software, we plan to continue to shift our go-to-market focus and further align our product portfolio to best capture the growing SaaS opportunity. We also have much more work to do to drive consistent sales execution across the organization. Overall for fiscal '15, we remain optimistic about the market opportunity and our competitive positioning. However, the currency headwind at current rates cannot be fully absorbed. We've done detailed modeling using current exchange rates and assumptions for repricing and productivity. With all that in mind, we're updating fiscal '15 non-GAAP diluted net earnings per share outlook to be $3.53 to $3.73, which is lower by $0.30 due to currency headwinds. Fiscal '15 GAAP diluted net earnings per share outlook is in the range of $2.03 to $2.23. Q2 fiscal '15 non-GAAP diluted net earnings per share outlook is expected to be in the range of $0.84 to $0.88, which includes $0.09 of currency pressure. Q2 fiscal '15 GAAP diluted net earnings per share outlook is in the range of $0.57 to $0.61. Given the updated earnings outlook for currency and the introduction of cash-related separation activities, we are updating our fiscal '15 free cash flow outlook to be approximately $3.5 billion to $4 billion. With that, let's open it up for questions.
Operator: [Operator Instructions] Our first question will come from Sherri Scribner of Deutsche Bank.
Sherri Scribner: Meg, you're now a couple of months into the separation, and I assume that you've gotten more detail on where you can find some additional savings. I was hoping you could talk through some of the additional savings you expect and also how you feel about the separation at this point, 3 months in.
Margaret Whitman: Yes, great, Sherri. So we are making real progress on the separation. Recall that we are separating into 2 Fortune 50 companies. I mean, it's sort of hard to imagine that there are 2 Fortune 50 companies embedded in HP. And that has included an entire organizational design and selection process, the IT strategy, carve-out financials and many other activities. And I think actually that we are executing on all cylinders. There has not been distraction to the core business. We've got a dedicated team focusing on the separation, and the rest of the company is focused on delivering for customers. And I feel very good about that. And also, the feedback from partners and customers has been terrific. So lots and lots of work ahead, but I feel good about where we are. It has surfaced lots of opportunities for continued cost savings and the ability to operate more efficiently. And when you tear apart a company that's been built up over many years through acquisition, through different systems being merged together, it's remarkable what you find. And whether it is single owners for end-to-end cost structure, the ability to benchmark versus our competitors on how many spans and layers we have, the ability to make small changes in the portfolio that we want to go forward with, lots and lots of opportunities that's going to make us much stronger as we go forward as 2 independent companies. So we're pretty excited about it. It is a huge amount of work, but I have to say it's exhilarating because we see the future, where these 2 companies will be far more cost competitive than even we are today as HPQ.
Operator: The next question will come from Maynard Um of Wells Fargo.
Maynard Um: Can you just talk a little bit about the Deutsche Bank deal? My impression of the scope of the deal was much deeper than maybe some would think you have the capability to provide. Maybe if you can just give us more specifics around that and detail around the deal. What was the primary driver to the win? Were there particular products or solutions that were central to it? And then maybe just related to that, more generally, talk about where you are in Services bookings and where you expect that to be.
Margaret Whitman: So we're very proud of the Deutsche Bank win. And it was a full-on one HP effort, including our Enterprise Group, our Software business, our Cloud business as well as our Services business. And it was a Services-led win. And I believe the reason that we won is we have the best technical solution for what Deutsche Bank needed, which was to reduce cost, increase -- reduce cost significantly by the way, increase agility and migrate to a new world order of CICD, DevOps and a cloud-based environment. So I think we showed up with the best team, with the best technical solution and a competitive price. As you know, this is a long sales cycle business. I think we first engaged with Deutsche Bank over 18 months ago, maybe even closer to 2 years. So these are long-standing deals. But we're very excited because everyone in the industry wanted this business. It was a hallmark or a lighthouse account, and we did it on our terms. So we feel pretty good about it. I would say Helion was a big part of the differentiated solution. I think our ability to provide global support on an unprecedented scale was an important part of the win, and our ability to advise and transform. The key risk in these deals is how do you get from where you are to where you need to be, and I think we were judged to be the safest pair of hands.
Operator: The next question will come from Toni Sacconaghi of Sanford Bernstein.
Toni Sacconaghi: I was wondering if you could comment on your revenue expectation for this year. You were down about 2.5% at constant currency this quarter. I think the goal was to be about flat at constant currency for this year. Do you still believe you can achieve that? And I guess given some of the commentary around geographies, et cetera, it would seem not. And so perhaps I go back to you, Meg, and say you're on track but it actually feels like you're a little bit behind track in terms of where you thought revenues may have been for this year.
Margaret Whitman: So we still believe we can be flat in constant currency in FY '15. And as you can imagine, we've put a lot of thought into this because the macroeconomic environment, particularly in places like Russia, where we are overexposed, in China, is pretty challenging. But listen, we did well in PSG, very well in Industry Standard Servers, and this is perhaps the big turnaround over the last couple of years. This was a very troubled business 2 years ago and the team has done a remarkable job. Graphics and print is doing extremely well. And ES, and this will be the key to a flat constant currency, is we expect better revenue performance in the second half from ES. Profitability was good in Q1, but we expect to have a much slower rate of decline by the end of the year. And Deutsche, TNT, other wins are important to that. So I'm optimistic that we will be flat in constant currency. Listen, if there's another major geopolitical disruption, that could be off the table. But as we sit here today, we think flat in constant currency. Cathie, do you want to add anything to that?
Catherine Lesjak: I wouldn't -- I don't think I can add anything to that. I agree. I think that we will be roughly flat in constant currency, and then the key is going to be Enterprise Services. And we announced Deutsche Bank. We've already won in Q2 a couple of big deals. The other one's not public yet, but that is going to give us some help in the second half, as is the fact that the key account runoff that we've been talking about really abates in the second half of the year as we're getting largely through it. And so that also helps from a year-on-year compare perspective.
Margaret Whitman: I think you can think about it, Toni, as the bathtub, and the water is now going to stop draining out of the bathtub as fast as it has. So the water that we pour in ought to lead to a rising level in the tub. And I would say new logos, SCS, very strong, and -- but we've got to continue to execute.
Operator: The next question will come from Katy Huberty of Morgan Stanley.
Kathryn Huberty: Cathie, in your cash flow discussion, you mentioned intra-month linearity in January as a factor impacting DSOs and therefore, free cash flow. And I wonder if you can expand on that, in part because other enterprise hardware companies have said in the month of January, they started to see delays in spending as global customers have to deal with the currency impact on their own business and therefore are delaying spending and revisiting their budget. And I just wonder whether you and Meg think that, that could be a risk that plays out this year.
Catherine Lesjak: So Katy, that's really not what we're hearing in terms of when we think about the quarter, it wasn't so much that we were seeing kind of enterprise customers delaying as a result of the currency. That's really not what we're hearing. We did see some softness in January overall in the PC business, and so the quarter was a bit more front-end loaded than what would be kind of our historical norm. But when you look at overall HP in January and then you look at what we had expected, and I think this is really important because when I was talking about the cash flow implication, it was really relative to our expectations around cash flow, we had expected a January that was better balanced first half to second half. And what we saw was actually a bit more that got shifted from the first half to the second half, and that impacted, obviously, DSO.
Margaret Whitman: And I'll just chime into that, Katy. We have a great channel from our sales force to us, and I'm out in the field all the time with customers. I'm not actually hearing that. Now that doesn't mean it won't turn up, but we're not hearing that people are delaying purchases because budgets are tightening and things like that.
Operator: The next question will come from Rod Hall of JPMorgan.
Rod Hall: I just wanted to drill into the Networking commentary a little bit. You guys had said that I think you were a little bit disappointed in the performance in the quarter. You made some interesting announcements last week with regards to brite box switches. But you seem to be doing a lot of things in Networking. I just wonder if, Meg, you could maybe talk a little bit about the strategy there. Do you guys intend to consolidate the strategy around brite box? Do you intend to have a broad spectrum of product offering? Just help us understand how the strategy might be evolving there.
Margaret Whitman: Sure. So Networking is a very important business to HP. You will recall from a financial architecture perspective, Networking and Storage are margin accretive. And so these are important businesses to us, and we will continue to invest in these businesses. You're right, we had 2 execution challenges, one in China and one in the U.S. And I think we touched on those. The strategy here is exactly the same strategy in many ways that we've deployed with servers, which is a market segmentation strategy, what kind of customers want to buy what kind of gear, and then we need to have that for them. So for example, in servers, we have high-performance compute, and we have terrific data center switches and wired and wireless LAN products. But we also have benefited by having a hyperscale offering through our joint venture with Foxconn in the server business, which led to the thesis we should have a white box strategy for our Networking business because there's a lot of people for whom that is the solution that they prefer. And better for us to offer it and surround with other HP product and services than walk away from that market segment entirely. We're very clear that we only play in businesses in which we can grow profitably. We have no interest in losing money in any business. And we believe in this new opportunity that we announced that we will make money there. So it is a market segmentation-based strategy where we have to have the right product with the right services attached that allows us to make money and gain share. So a rougher-than-anticipated quarter in Networking, it doesn't deter us. We just know we've got to make a couple changes to execute better.
Operator: The next question will come from Steve Milunovich of UBS.
Steven Milunovich: Meg, I wondered if you could talk about your Playing to Win framework. That's not something you've spoken about much. And from what I've heard about it, it sounds like it's fairly important, particularly to the discipline and execution of HP. Is that true?
Margaret Whitman: It is true, actually. The entire company has organized around Playing to Win, which is a book written by A.G. Lafley and a colleague of his. And listen, there's many ways to deploy strategy in companies. This is one that I have found to be particularly helpful because organizations have a lot of trouble making choices, particularly at our scale. So this notion of where to play, what countries, what market segments, what products and where not to play because we can't do it profitably has been a very good discipline. And actually Dion Weisler has led the way in Printing and Personal Systems. And then once you determine where you're going to play, how to win. And that is through a combination of where you're going to excel versus competitors. And it's actually been a really good common framework that we can apply across HP. It's easily understandable and actually forces the tough trade-offs. So listen, as I said, there's lots of ways to deploy strategy, but this has been particularly, I think, effective at HP because everyone speaks the same language now.
Operator: The next question will come from Jim Suva of Citigroup.
Jim Suva: Cathie, can you just help us bridge the difference of the current free cash flow guidance of $3.5 billion to $4 billion versus the prior of $6.5 billion to $7 billion? Just help us quantify or understand the bridge and where did the $3 billion go to, because a lot of these timing things over a long term, whether it's inventory, payables or whatever, should kind of wash out. So if you can help us understand on a yearly basis where the $3 billion went.
Catherine Lesjak: Sure. And Jim, you're absolutely right. The softness that we saw in free cash flow in Q1 was largely the result of timing and so we don't believe has an impact to the total year. So if we go -- if we start with the $6.5 billion to $7 billion, that was the outlook back in November. You then take into consideration the separation costs for our fiscal '15, which are $1.3 billion. You've got incremental foreign taxes net of credits in the year that are about $750 million of cash outflow. And then you've got the separation CapEx, which is about $300 million. And finally, you've got $0.30 a share for currency. And that takes you to the $3.5 billion to $4 billion of free cash flow for fiscal '15.
Jim Suva: Got you. So the original separation costs of $1.3 billion was not in the $6.5 billion to $7 billion?
Catherine Lesjak: That's right. And if you actually go back to this, we were pretty clear on the fact that we had not quantified and -- to the point where we were comfortable giving explicit guidance about what the separation costs were going to be 3 months ago. We actually have spent a tremendous amount of time kind of identifying and quantifying what that was going to be.
Jim Suva: Perfect clarification.
Margaret Whitman: The other thing I would -- I'm sorry, Jim, go ahead.
Jim Suva: I said that's perfect clarification. So it was really the add-on of separation costs and currency.
Catherine Lesjak: That's right. That's the only change that we've got to our outlook for free cash flow for the year. The base to start with is the $6.5 billion to $7 billion that we provided last quarter.
Operator: The next question will come from Ben Reitzes of Barclays.
Benjamin Reitzes: I wanted to ask about your pricing commentary. The 19.2% margin in Printing doesn't seem indicative of a nasty pricing environment. It actually seems like the opposite. I know you got the yen flowing through there. But I wanted to understand the pricing comment better. Does that mean that Printing margins are really going to fall a lot due to pricing in upcoming quarters? And what does it really mean when you're balancing the fact that margins are at these historical highs and you're seeing this pricing pressure?
Margaret Whitman: Yes. So we do think that the 19.2% profitability and, really, the profitability over the last quarter or 2 has been unsustainably high. And remember, the business model is we price printers at a loss in exchange for long-term annuity. But I've actually asked Dion Weisler to join us on the call today. And so Dion, you might comment a little bit about that.
Dion Weisler: Yes, I think you're quite right, Meg. We don't believe that 19% OP is good for the business long term, and therefore, it is not sustainable. And over the last several quarters, we've made real operational improvements. We've also had some cost benefits from the weakness of the yen, which is, of course, a double-edged sword. On the one hand, it helps us lower costs. On the other, our fierce Japanese competitors have leveraged the yen to be more aggressive on unit placement, which we need to respond to. So in order for us to maintain competitiveness, we need to invest some of these savings, and we'll do that really in 3 ways. Firstly, we'll be more aggressive in placing more units with a keen focus on placing high-value units that will drive future supplies growth. Secondly, we'll continue to expand our print sales specialist team to continue to drive growth in our managed print services business. And then finally, we'll invest in new technologies like PageWide array that fuels everything from the Officejet Pro X all the way through being the underpinning and underlying technology behind Multi Jet Fusion, which is, of course, the engine behind our 3D printers. So of course, we'll continue to strike the right balance between growth and profitability, but we believe 19% operating profit is not good for business long term.
Catherine Lesjak: And I'd like to also add -- sorry, Ben, I'd like to also add that when you look at the benefit that we're getting explicitly from the weakness of the yen, in the back half of the year, that on a year-over-year basis is significantly reduced even at the current levels of exchange rates there. So we do expect that some of that benefit kind of moves away from us. The other thing, this is the only segment in Q1 where, overall, on a direct basis, they had a positive impact from currency. So again, IPG is a little different than other businesses. It's got the same top line and bottom line pressures from the strength of the dollar. It does have a benefit from the weakness of the yen, and then it does have to deal with Russia. But in Q1, the net currency impact was actually positive. We don't expect that, that continues in the rest of the year as the yen benefit basically moves away from us. And over time, we also hedge longer term, especially in the supplies area in IPG, and those hedges start to roll off as well.
Benjamin Reitzes: Yes, and the pricing hits are on the comp [ph], it sounds like, okay.
Margaret Whitman: Yes.
Catherine Lesjak: Yes.
Operator: The next question will come from Wamsi Mohan of Bank of America Merrill Lynch.
Wamsi Mohan: Could you help us think through the dynamics of PC unit growth this year? For the quarter, obviously, the metrics look pretty strong, but I know you commented about January starting off weak. How are you expecting this to progress through the quarter and the year? And any geographic color there will be helpful.
Margaret Whitman: I'm sorry, I couldn't exactly hear you. The dynamics of the...
Catherine Lesjak: Are you looking for the PC -- what happened to PCs in January?
Dion Weisler: The long-term view, I think, was the question.
Catherine Lesjak: Okay, why don't you take that then.
Margaret Whitman: Was it -- okay, yes, Dion, you can talk about the long-term view that you have.
Dion Weisler: Yes. So look, I think in general, we're pretty aligned with the industry projections of the Personal Systems market, which suggests sort of low single-digit growth. We believe that PC units will be in small decline, but there are pockets of growth across the segments -- in some segments, including mobility, accessories and services. We've seen and expected the slowdown in the commercial segment following the XP refresh that fueled high-growth last year. However, we've seen, to counterbalance that, momentum in the consumer side of the business as consumers refresh their older PCs. So looking forward, the market remains competitive. We believe we can continue to gain share in the areas where we choose to play as the market consolidates. Specifically, we're sort of focused on profitable growth in 3 areas. Firstly, we're investing in key growth areas of convertibles, commercial mobility, accessories and services, where the heat is in the market. Secondly, we remain focused on extending our leadership in the commercial enterprise and SMB segments, including education. And then finally, we just continue to do the hard work of detailed customer segmentation and ensuring that we have the right price, value and cost equation set for each market.
Catherine Lesjak: And I would say that while we are maniacally focused on the commercial space in Q1, and what we're seeing is a little bit of a refresh in the consumer space.
Dion Weisler: Right.
Catherine Lesjak: And this is where being focused on profitable growth is really important. There's a lot of bad growth in consumer, but there's also good growth. And one of the things that I just want to make sure that people are clear on is that we don't get hung up on the margin rate. If we can go after good units in the consumer space across HP Stream, Bing, Chromebook, and we can deliver incremental margin dollars, then we'll go after that. And we definitely saw some real opportunities in Q1. It helped us gain pretty significant share on the consumer side while also driving some incremental profit dollars, obviously, at a much lower rate.
Operator: The next question will come from Aaron Rakers of Stifel, Nicolaus.
Aaron Rakers: I wanted to ask you about the Industry Standard Servers segment and where we stand on the Grantley or the Gen9 server cycle. So what have you seen so far? Where are you at in that cycle? And what's your expectations for that product cycle relative to not just the Grantley cycle, but also the Windows Server expiration through the course of this year?
Catherine Lesjak: So specifically with respect to the Gen9, the ramp in Gen9 is off to a terrific start. It is actually one of the fastest ramps that we've seen. It's certainly ramping faster and better than Gen8. What we see in the product lineup in Gen9, which is different than Gen8, is that we've got basically -- we've got a great entry product all the way up to the high end. So we're very pleased with the progress. You saw that help drive a lot of growth in Industry Standard Servers, 9% year-over-year in constant currency. And we expect that, that will continue to ramp basically through the year. In terms of the kind of Windows 2003 refresh, it's starting, but it is not a material impact at this point. It's really just beginning. We do expect that, that will ramp as we go through fiscal '15, but it was not a major factor at all in the performance that we delivered in Industry Standard Servers this quarter. The combination of Gen9 and the refresh cycle makes us fairly bullish on Industry Standard Servers kind of throughout the rest of '15.
Margaret Whitman: And you might talk a little bit about the margin work we've done in that business.
Catherine Lesjak: True. Good point. We have done -- the margins have improved very significantly, the gross margins in Industry Standard Servers this quarter. We've done a great job of driving product cost down, taking advantage of some favorable commodity pricing as well. But it's really been hard work at driving the right cost structure combined with the opportunity to drive attach. So in ASPs, we've got double-digit increases in ASPs in Industry Standard Server. And that's because the Gen9 ProLiant server basically drives a lot of memory and storage attach, which is obviously great for margins.
Margaret Whitman: The last thing I'd say is I think we're really well positioned to take advantage of the Windows 2003 refresh just as we were from the XP migration in the PC business. I mean, we actually modeled the program after the XP program, and that has been helped by adjustments to our coverage models in the United States and APJ and Europe. So I'm with Cathie. I think we feel really pretty good about that business for the remainder of the year, and I think we're very well positioned, and the Gen9 server was dead on from a market perspective.
Operator: And the final question will be from Shannon Cross of Cross Research.
Shannon Cross: Cathie, can you talk a bit about how we should think about free cash flow for '16? And what I was trying to figure out is you said $750 million for foreign tax. I think the total was $900 million. So would sort of the offset of the credits and the costs in '16 kind of balance themselves out? And then theoretically, restructuring somewhat through, so maybe we get back sort of more to that normal cadence of -- and I'm sure you probably don't want to put a number on it, but just to the extent that you can, give us some idea of puts and takes we should think about as we look to '16 since obviously were going to have to cut our '15 cash flow estimate pretty significantly.
Catherine Lesjak: Sure. So the biggest headwind to free cash flow this year over last year is the cash conversion cycle, basically going to back to 10 to 12 days. And I think it's important to understand that the reason why it goes back to 10 to 12 days is because we are taking what is now our strong balance sheet and leveraging that balance sheet to drive shareholder value by making trade-offs across the P&L and the balance sheet. That's what is driving the 10 to 12 days. But once we get to that 10 to 12 days, they year on year compare for '16 and that headwind is significantly reduced. So that's one of the big kind of tailwinds to cash flow. You're absolutely right, the separation costs are going to come down. So -- and the separation cost is anticipated to be $1.3 billion in fiscal '15 and about $500 million in fiscal '16. We don't think there's separation CapEx. The foreign taxes will turn to credits. I don't know how much were going to get in credits in fiscal '16, but certainly, you don't have the headwind of basically $750 million. So I think those are -- and then currency, we'll have to see what happens from a currency perspective, exactly what will happen. But obviously, you wouldn't have another step down unless the currency moves against us again.
Shannon Cross: And is there any change -- sorry, go ahead.
Margaret Whitman: No, I was just going to say, Shannon, and obviously, towards the end of the year, as we get close to actually the legal separation of these 2 companies, we'll be very explicit about the balance sheet that each company has and the earnings, revenue growth, free cash flow of each company. So as we head into '16, we'll be able to give you the kind of guidance that we gave when we were one company. We'll just do it for 2.
Shannon Cross: Any change to your cash usage this year, given the lower cash generation?
Catherine Lesjak: Are you specifically asking about capital allocation? Because I'd love to address that.
Shannon Cross: Yes, that was actually what I was asking.
Catherine Lesjak: So our commitment to basically provide at least 50% of our free cash flow this year back to shareholders in the form of share repurchase and dividends is still intact. And in fact, if you do the math on Q1. In Q1, we repurchased shares to the tune of about $1.6 billion. About $750 million of that is basically making up for the shortfall that we had in '14 from our commitment. So we've got about $850 million done in share repurchase for fiscal '15. If you actually then look out over the course of the year and forecast what you think the dividends are going to be, you'll come pretty rapidly to the conclusion that we are at or darn close to hitting 50% of free cash flow already in terms of returns to shareholder. And what is important is that our guidance is -- and our commitment is at least 50% of free cash flow will be returned to shareholders.
Margaret Whitman: Great. Well, thank you very much. I think we're out of time. Thank you very much for joining us. I think we feel very strongly that the turnaround is on track. There's progress. You can see it in terms of margin expansion across all the major lines of business. You can see it in growth in areas of the company that I think people were not sure we would turn around like Industry Standard Servers and PCs. So lots of progress, lots more work to do. And obviously, the macroeconomic environment, largely currency, is a headwind that disproportionately affects HP. But overall, we feel really good about the operational execution of the company. So thank you for joining us.
Operator: The conference has now concluded. We thank you for attending today's presentation. You may now disconnect.